Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Constellation Pharmaceuticals First Quarter 2020 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference to your speaker today, Kia Khaleghpour, Vice President of Investor Relations. Please go ahead, ma'am.
Kia Khaleghpour: Thank you, operator. Good morning, everyone, and welcome to this conference call to discuss Constellation's first quarter 2020 financial results and operational performance. I'm Kia Khaleghpour, Constellation's Vice President of Investor Relations. And I want to tell you how thrilled I am to be here representing Constellation. I look forward to working with Ron Aldridge here at Constellation and meeting all of you to maintain an active and fruitful dialogue. Participating in our call this morning are Jigar Raythatha, Constellation's Chief Executive Officer; and Emma Reeve, our Chief Financial Officer. Please turn to slide two.Before we begin, I want to point out that our presentation today will include forward-looking statements, which are subject to certain risks and uncertainties. Actual results may differ materially due to various important factors, including those described in the Risk Factors section of our most recent annual report on Form 10-K as well as other risks detailed in our subsequent filings with the Securities and Exchange Commission. This document can be found at the Investors tab of Constellation's website as well as at the SEC website. Forward-looking statements represent our views only as of the time of this call and should not be relied upon representing our views as of any subsequent time. We undertake no obligation to update these statements. And now I will turn the call over to Jigar.
Jigar Raythatha: Thank you, Kia, and good morning, everyone. I'd like to begin by welcoming Kia to Constellation as our Vice President of Investor Relations. She brings a wealth of experience to the position. Prior to joining Constellation, Kia was at Biogen in roles of increasing responsibility, including an Investor Relations Officer. She also worked at a Senior Equity Research Associate at Citigroup and SVB Leerink, covering small-cap biotech companies. Kia will be working with Ron Aldridge to continue to deliver high-quality interactions with our investors and analysts.Welcome, Kia. I'd also like to say that I hope each of you and your loved ones are safe and well as we work to overcome the COVID-19 pandemic. I know this issue is very much on your mind, and shortly, I will provide an update on its impact on our operations. Please turn to slide three. Let's begin by looking at some of the key highlights about Constellation. We have a portfolio of wholly owned clinical programs featuring CPI-0610, targeting the BET family of proteins, as well as CPI-1205 and CPI-0209, both of which target EZH2. CPI-0610, we believe, has the potential to transform the standard of care in myelofibrosis. And we've been able to demonstrate potential disease-modifying effects, both as a combo therapy and as a monotherapy.We've been developing a second molecule, the EZH2 inhibitor, CPI-1205, for use in combination with androgen receptor signaling inhibitors in prostate cancer. CPI-0209 is a second-generation EZH2 inhibitor that's been designed to engage with a target in a different way. We believe this expands the potential opportunity for EZH2. All of the work that we've done here to advance programs into the clinic has emerged from our own discovery platform and it will continue to be a source of innovation for Constellation.Please turn to slide four. As I mentioned, our lead program is our BET inhibitor CPI-0610 for myelofibrosis, a disease where the majority of patients remain underserved. JAK inhibitors provide spleen reduction and symptom relief with more limited evidence of disease modification. Some patients are unable to initiate JAK inhibitor therapy or receive an effective dose due to low platelet counts or anemia, and some lose their response over time. As anemia worsens, patients face an increasingly poor prognosis and transfusion dependence. Many anemic patients reduced their dose to JAK inhibitors, further reducing into efficacy where they stop altogether.Red blood cell transfusions to treat anemia often lead to transfusion dependence and diminished quality of life. Our goal is to expand the treatment options for intermediate and high-risk MF patients by offering a potential for disease modifying therapy. We hope to provide greater benefit for patients who currently take JAK inhibitors and for those patients who delayed treatment due to anemia or other reasons as well as those who lose response to JAK inhibitors over time. Please turn to slide five. We're excited about the preliminary data that we presented at the ASH conference in December of 2019.In JAK-inhibitor-naive patients, we shared early, spleen and symptom response rates. We also presented additional data in our second line cohorts, where we saw signals of not only spleen and symptom benefits, but also potential disease-modifying effects, including increases in hemoglobin, conversion from transfusion dependence to transfusion independence and bone marrow fibrosis improvement. We plan to provide updates soon in conjunction with the European Hematology Association meeting. On May 14, three abstracts will publish, one for each MANIFEST arm, reflecting a data cut on January nine.At the EHA virtual meeting, we will provide a further update as of already data cut. We plan to meet with the FDA in the midyear time frame, and we'll report back to you soon thereafter. These discussions will help refine our plans for a potential registration path for CPI-0610, including our plan to initiate a global randomized Phase III clinical trial of CPI-0610 plus ruxolitinib in JAK-inhibitor-naive patients. We expect to begin this trial in the second half of 2020. This reflects the modification of our previous guidance of a Q3 start as we are acknowledging that there remains uncertainty arising from COVID-19.Please turn to slide six. We'd like to share with you what we can expect to see in the EHA abstract on May 14 and the EHA presentation in mid-June. As part of our update with EHA abstracts, we will be presenting 12-week SVR35 data from 29 first-line patients and 24-week data from 15 first-line patients. Additionally, the abstract will update data from 48 second-line patients. At EHA itself, in the first-line setting, we'll present 12-week SVR35 data from approximately 50 patients and 24-week data from 25 to 30 patients.In second-line cohorts, we will show data from additional 70, 80 patients as well at the EHA meeting. In addition to SVR35, we will present a broad package of data, including symptom scores and indicators of possible disease modification, such as hemoglobin changes, transfusion dependence conversion rates and bone narrow fibrosis changes. We will also update the safety profile of CPI-0610. Now please turn to slide seven to learn about our EZH2 franchise. As you know, we have two EZH2 inhibitors, CPI-1205 and CPI-0209. Starting with CPI-1205, we're treating metastatic castration-resistant prostate cancer patients who have developed resistance to an androgen receptor signaling inhibitor.We previously presented data from our Phase Ib study that showed that CPI-1205 was active in patients who are treated in combination with either abiraterone or enzalutamide. Patients generally either had a deep PSA response, such as PSA80s rather than 30s or 50s or rapid disease progression. ProSTAR enrollment is now complete and we plan to review updated data and make a go no-go decision in mid-2020. If the data do not support a strong product profile, we will focus our efforts on CPI-0209, our second-generation EZH2 inhibitor.Please turn to slide eight. We believe that CPI-0209 has the potential to be a best-in-class EZH2 inhibitor. It was designed to be a potent and durable inhibitor of EZH2. As a reminder, a key differentiator in CPI-209 is its resident time on target. CPI-0209 bind EZH2 in a biochemical assay and doesn't come off for months. And with that in mind, we believe that it has the potential to extract the full impact of EZH2 biology. This compound profile may allow us to expand into different patient populations that are not addressed with first generation of EZH2Inhibitors. We're currently assessing CPI-0209 in a Phase I dose escalation study. We intend to establish a recommended Phase II dose in the second half of the year, and begin our Phase II expansion cohort shortly thereafter. Some of the contexts we are pursuing with CPI-0209 include biomarker-driven strategies, including the assessment of mutations like ARID1A. We'll further elucidate the development plan around CPI-0209 as we determine the recommended Phase II dose.Please turn to slide nine. Finally, I'd like to summarize some milestones that we anticipate in the rest of 2020. As I mentioned, we plan to have an important update for CPI-0610 at EHA. We also plan to start our Phase III clinical trial with CPI-0610 in the second half of 2020 and provide a further update on this program by the end of the year. We also aim to provide an update on CPI-1205, including our decision on next steps for that program in the midyear time frame. We anticipate providing an update on CPI-0209 in the second half of the year, primarily focused around establishing a recommended Phase II dose.Now as stated earlier, I'd like to give you an update on how COVID-19 is impacting our operations. In MANIFEST, patient enrollment began to slow toward the end of the first quarter. We are all aware of the difficult conditions under which hospitals around the world are working and also the limitations in patient travel. Prior to the pandemic, we had met or exceeded our internal enrollment goal, and we continue to assess the impact of the pandemic the pandemic could have on our MANIFEST trial time line. Similarly,While we've had incidences of incomplete data collection to date, we're utilizing provisions of the protocol and recent regulatory guidance that allow for potential flexibility in the time and place of data collection. As mentioned earlier, planning for our Phase III clinical trial of CPI-0610 is on track. Conditions at the clinical trial sites caused by COVID-19 may or may not cause a delay in the start of our Phase III clinical trial, which we currently expect in the second half of 2020. To date, we have not seen a significant impact of COVID-19 on our clinical trials for CPI-1205 or CPI-0209. In manufacturing, we've had some delays in supply of materials for CPI-0610 and CPI-0209, but there has been no impact on our overall time lines for conducting the pivotal trials.With that, we will now discuss our financial results and cash runway. Emma?
Emma Reeve: Thank you, Jigar, and good morning, everyone. Please turn to slide 10. We had a net loss attributable to common share stockholders of $25.4 million in the first quarter, which was in line with our expectations. On a per share basis, the net loss was $0.61 per share in the first quarter compared with $0.75 per share in 2019. R&D expenses increased by $4.4 million year-over-year, mainly due to work related to CPI-0610. Personnel costs also increased compared with the prior year quarter as we continue to build out our organization.Our cash, cash equivalents and marketable securities were $358.8 million as of March 31, sufficient, we believe, to fund our operations into the second half of 2022. We plan to use these resources to complete the MANIFEST trial, fund our Phase III clinical trial for CPI-0610 and to start to build the commercial organization needed to launch the compound. In addition, our cash will allow us to complete the Phase II clinical trial for CPI-1205 and the Phase I/II clinical trial for CPI-0209 as well as to support our discovery platform.And with that, I'll turn things back over to Jigar.
Jigar Raythatha: Thank you, Emma. And now we will be happy to answer your questions.
Operator: [Operator Instructions]Our first question comes from Marc Frahm with Cowen and Company. Your line is now open.
MarcFrahm: Yes, thanks for taking my questions and concerns. Thanks for being very clear and explicit about what we should expect at EHA. I guess just one kind of question on kind of the time line of patients through here and some mechanism, Jigar. Would you with Jakafi we see responses pretty quickly, but with this mechanism added on, do you expect those responses to also happen always very quickly or would you expect people to kind of deepen over time given some of the morphologic changes that may be happening?
JigarRaythatha: Yes. Marc. Thanks for joining. And I think it's a great question. I think we're going to learn more over time as we treat more patients. And certainly, in the various context of treatment, we'll also learn more as well. Yes, I would just point to the early results that we saw in at ASH, and within 12 weeks we were certainly seeing responses with that combination in the naive setting, experience in the second-line setting, in some cases, have been a bit more of a continuing deepening response over time, but we'll look to kind of see how that plays out and translates into the first-line setting with future updates. The other point on maybe the data point to kind of.In mind is kind of what happens with ruxolitinib alone in kind of that that time frame from kind of 12 weeks and onwards. And from what we've seen from the data that we presented in Rux's reviews, some patients lose response, some patients gain response. Probably all comes out in the launch in terms of response rate. And you see the majority of the response kind of in the early part of the treatment. So I think the 12-week time point, we believe that's true, it's probably fairly predictive of what's going on.
MarcFrahm: Okay. All right. Great. And then maybe just on your COVID comments, with some data being incomplete completely understandable, people are altering their visits and things like that. But I mean should we expect some of that to even show up in the EHA presentation that we'll see for certain endpoints, patients coming in and out of the analysis set? Or will that or the type of endpoints we're seeing at EHA be very consistent across all of the patients?
JigarRaythatha: Yes. I think for the most part, I think we're in good shape for the EHA update. I mean, as we mentioned, we were ahead of schedule on patient enrollment. And so for the targets that we've laid out for ourselves, 25 to 30 patients, we feel very comfortable that, that data set is fairly well secured. And that the data we have there is fairly complete. There again, there may be instances of data point here there that you don't have, but it doesn't impact the overall good judgment of what we think we have.
Operator: Thank you. Our next question comes from Anupam Rama of JPMorgan. Your line is now open.
AnupamRama: Hey, guys. Thanks so much for taking the question. Just two quick ones from me. Jigar, maybe on your COVID-19 comments, maybe you could expand on the strategies that you have in place to sort of mitigate loss to follow-up data from MANIFEST. And then second question on the midyear regulatory discussions. Just want to clarify, if you'll be talking to regulators about the spectrum of potential treatment settings. So that's first and second line, not an independent and nondependent transfusion patients, not just sort of first-line patients only.
JigarRaythatha: Yes. So I think there are a number of operational considerations to making sure that we can mitigate for data follow-up with patients. And most of these are in line with the guidance the FDA has issued around kind of how to deal with kind of patient care. So examples of this are visits can occur by telemedicine and follow up visits, drug can be shipped directly to patients from clinical sites. We've also been able to make provisions so that if a patient needs to, they can go to a local doctor's office or hospital to get information, labs drawn or even MRIs done, if needed.We also have flexibility built into the protocol around the precise timing of the scans that need to occur. So there's a window around, for instance, the 24-week span, that's fairly liberal. But if you take the scan kind of in that window, it still is kind of a 24-week span. So there's a number of provisions in there that we think ultimately give us a good deal of comfort around our ability to collect all the data that we need to collect.And then with regard to your question on discussions with regulators, I mean, we won't go too deep into exactly when and what will be discussed. We view this as essentially kind of an end of Phase II type meeting where we can review all of the data that we have in hand as part of a briefing package and discuss various strategies that we can use for a pivotal program, including the design and execution of a randomized Phase III study. But to your question, yes, we would review the data that it's in both the first and second line data as part of that discussion.
Operator: Thank you. Our next question comes from Brian Abrahams with RBC Capital Markets. Your line is now open.
BrianAbrahams: So, thanks for taking my question. Can you hear me now? Sorry about that. So just building on the last question. I'm curious, what are your latest views on the potential regulatory paths for 610? I think on the last call, you suggested potential openness to open-label data supporting accelerated approval. I'm just curious if you've had any specific feedback from the FDA or regulatory consultants on the feasibility or requirements for that? And what your latest view would be as to whether that's applicable to just second line or possibly to first line and whether some of the slowdown in MANIFEST enrollment might impact those plans? And then I have a follow-up.
JigarRaythatha: Thanks, Brian, for the question. Yes, I think there's nothing that's changed with regard to our view on this. I think we've always sort of maintained that our base case to gaining regulatory kind of registration and approvals would be the randomized Phase III. But we will have a significant amount of data from the expansions that we've done in MANIFEST in the Phase II that we can review and potentially explore upside scenarios. I just want to be cautious around that because some of these scenarios really don't have a lot of precedent in terms of the context that would lead to those types of upside origination scenarios. And so nothing is different from our last discussion on this. But it's not kind of what we are guiding to in terms of the base case outcome.
BrianAbrahams: Got it. Okay. That's really helpful. And then both in your comments and in the press release, you've really highlighted the implications and importance of bone marrow fibrosis improvements. Can you maybe contextualize that a little bit more and talk about the relative importance of that endpoint from clinical and regulatory path standpoint? And could that sort of evolve and emerge as something that becomes more important than spleen or symptoms in certain subpopulations?
JigarRaythatha: Well, we think it's a really exciting effect that we're seeing. We think it's very differentiated from what's seen with other agents in the disease, both from a kind of rate of improvement that we're seeing in the patients in terms of the number of patients have seen improvement as well as the time course in which we see that improvement occur. And it really speaks to potentially having a change in the underlying disease course than the disease pathology, which is, I think, from a physician standpoint, something that they really wanted to have, but haven't been able to achieve on a consistent way or at least in an early way with the available therapies.And so ultimately, if we fast forward to a time when 610 is approved and available potentially for patients to be treated with, then we think that becomes a major driver for prescribing habits and for use in quite broad way kind of our hope. And how that can then be used as part of a regulatory discussion, I think still needs to be seen. I think there's you can't deny that it's actually the fibrosis that is the major underlying pathological disease factor. And so when you see improvements there that's which are encouraging, how that then translates into a regulatory endpoint is less clear. But certainly, that will be something that we can talk through. And our hope would be that you can have that as part of your label down the road and it becomes a much differentiated feature of the product.
AnupamRama: Got it. If I could squeeze one more quick one in. Just can you remind us the types of patients that will be in the additional types of additional patients that will be in the cohort we see at EHA in terms of characteristics like anemia and risk profile, how those factors have historically influenced spleen response just to contextualize what we should be looking for out of the abstract and at the meeting.
JigarRaythatha: Yes. Happy to. So if you recall, we initially started this study this cohort, at least in the naive patients we're just referring to by restricting enrollment to patients who were anemic, hemoglobin less than 10. As we got into it, and we started to see some of the impressive responses, there was a pretty steady request to waive those criteria. And so as we began to enroll patients, we did see a higher proportion of patients have that were not anemic. And subsequently, we did change the inclusion criteria to remove that restriction.So that doesn't change instantaneously as the amendment does work its way through IRBs, kind of in the time course that IRBs kind of worked that through. But I think you could expect a greater proportion of patients to not be anemic compared to what was in the first 15 patients at ASH, which I think were 13 out of 15 patients were anemic. I think similarly, we would expect the number of patients that were intermediate one, for instance, to diminish over time, since we did also amend the protocol to restrict patients to intermediate two or higher.Again, the first 15 patients, we only had two patients that were intermediate one. And so that might increase for a little bit as some of the later patients. I think we saw the as part of the baseline characteristics that there were a handful of more patients of intermediate one but over time, that will diminish as well.
Operator: Thank you. Our next question comes from Michael Ulz with Baird. Your line is now open.
MichaelUlz: Hey guys, thanks for taking the question. Thanks also for providing all the detail around what to expect at EHA. So just a question about the EHA abstracts. I noticed in the press release, there was a comment that the data will include preliminary evidence of disease modification. And just curious if you're referring to second-line patients there or if you're referring to both frontline and second-line patients?
JigarRaythatha: I think, I mean, we'll certainly I guess, I can't answer the question precisely. But maybe what I'll say is that the at the ASH update, none of the patients were far enough along in their follow-up to have things like bone marrow fibrosis data to collect and analyze. And by the EHA update, many of those patients will be. So we'll be able to at least have the chance to assess for both first line and second line.
MichaelUlz: Got it. That makes sense. And then just in terms of enrollment in MANIFEST, you mentioned a slowing sort of late in 1Q. And I'm just curious, and I know this may be challenging to answer at this point, but how much of a potential delay do you expect in hitting your 100-patient target? Could it be a few months, or could you add some additional sites maybe and sort of make up the difference there?
JigarRaythatha: Yes. Mike, I don't know I don't think I can really precisely answer that question at this point. I think we're we do already have a lot of sites and it's a global study. And so we're hopeful that as various cities begin to loosen and relax their kind of lockdown provisions that, that things will start to pick up in the relative near term, but it's hard to really predict how that translates into enrollment rates at this time. Once we have a better handle on that, we'll certainly provide an update. I do want to mention again that we were you could place from an enrollment perspective in terms of being ahead of schedule. And so hopefully, our hope is that any delay that is that occurs is relatively short, but I can't give you any more precision than that right now.
Operator: Thank you. Our next question comes from Maurice Raycroft with Jefferies. Your line is now open.
MauriceRaycroft: Hi, good morning and thanks for taking my questions. First question is just if you can provide any more perspective into what we should expect in the abstract versus at the conference. I guess, can you say how many patients are going to be included in the abstract and what other data we should expect in there?
JigarRaythatha: Yes. I think we did do that as part of the call on the slide. If you go to if you look at slide six, it kind of lays it all out. So just to review, though, in the abstract, we'll because as part of the update that we provide around that, we think that there will be an update on patients with 12 weeks of follow-up in the first-line setting, 29 patients, and then we'll have 24-week data for 15 of those patients. And then at the EHA presentation, 12-week data in approximately 50 patients and 24-week data in 25 to 30 patients.And then the second-line sitting across all the four cohorts a 12-week data from sorry, 24-week data from 48 patients and at EHA presentation, 70 to 80 patients of data. So fairly fulsome update we think, which should provide a lot of context over the next couple of weeks to a month.
MauriceRaycroft: Got it. And Jigar, can you say the hemoglobin data that you reported at ASH in the second-line patients, is that holding up with the larger patient numbers? And will that be reported at EHA for the first-line patients, too?
JigarRaythatha: I can't specifically comment on the data. We're collecting it and analyzing ourselves. We've seen pretty consistently now in the over the last couple of updates, this impact that we contribute to particularly it's seen, I think, when you look at the 610 monotherapy data. And so we will continue to kind of analyze that and report that as we have it.
MauriceRaycroft: Got it. And last quick question, just to clarify on the regulatory discussions for midyear. Does that mean that you're going to have the meeting midyear, get the minutes and then provide an update likely later in 3Q time frame?
JigarRaythatha: Yes, again, the precise timing is not something that we've discussed, but I think the kind of order events in terms of which you kind of laid out makes sense, kind of have meeting and then get the minutes and then provide an update.
Operator: Thank you. Our next question comes from Srikripa Devarakonda with SunTrust Robinson Humphrey. Your line is now open.
SrikripaDevarakonda: Hey, guys. Thank you so much for taking my question. Looking forward to the data abstracts. So one question was it looks like you haven't had significant enrollment issues with CPI-1205 or 0209, but an impact on MANIFEST in terms of slowing down of enrollment. So does it have more to do with the sites? Or does it have more to do with the indications you're looking at? And is there anything that you can do to mitigate this, especially if this is related more to the indication, how might this impact your pivotal trial enrollment later, especially if things are not quite back to normal?
JigarRaythatha: Thanks, Kripa. It's hard to say whether it's related to sites. I mean, again, we have a broader array of sites, I guess, that are involved in 610 across treatment centers as well as maybe institutions that may not be as kind of prominent, but and it's global. So it's hard for me to really - I can't really say whether it's really that's impacted in the positive or negative way. I think the main thing probably driving it is kind of the disease itself, right? I mean, MS is more of a chronic disease. Patients have requirements for kind of follow-ups that make them prone to potential kind of adverse event that you just want to if you can mitigate it, you probably should.And so that's probably how they are being managed. I think with both 1205 and 0209, these are pretty advanced late-stage cancer patients that don't have very many other options. And so that would be my guess, but it's really, I can't kind of speculate for sure as to kind of why that would be the case. I did also want to say with 1205 also mitigating factors enrollment is complete there. And that we announced that actually in the first quarter of the year that we completed enrollment there. So there, it's more of just a question on a follow-up. Does that answer your question?
SrikripaDevarakonda: Yes. And so following up on that, do you anticipate any impact on gathering enough meaningful data by the midyear data cut or have you for ProSTAR?
JigarRaythatha: Oh, for ProSTAR. Yes. I think similar types of mitigation factors around follow-up also with ProSTAR. But again, I think with that in mind, I think we're in pretty good shape for kind of what we need to analyze data that we want to analyze in midyear and kind of make decisions about next steps in the program.
Operator: Thank you. Our next question comes from Do Kim with BMO Capital Markets. Your line is now open.
DoKim: Hi, good morning. Thanks for taking my questions. First, on the impact of COVID-19, you mentioned that you had some supply chain disruptions. Could you provide some additional details on what that was? You said you're still manufacturing clinical supply. So was it just getting the drug into clinics? And what contingencies are in place to prevent similar disruptions in the future?
JigarRaythatha: Yes, Do. So in terms of the supply chain disruptions, I'll give you a couple of examples for kind of raw material starting blocks that were being manufactured in China. There was a slight delay in getting those raw materials that we needed to then make our batches. But they it wasn't like they were we didn't get them. We just got them a little bit later than what we had in the time line and it wasn't on critical path. And so far, as you kind of look across, there's not any kind of meaningful delay that we can see kind of on the critical path that could jeopardize the time lines. But we obviously want to keep a careful eye on that over time.As we stated, we continue to kind of manufacture batches. And as we do that, we are kind of procuring the supply for the current 610 studies or future 610 studies. For other programs kind of similar types of things, I think, with 1209, we had really a small delay in the supply of drug substance because India went into a lockdown. But again, eventually, we thought that a couple of weeks delay it was not on critical path again. I think to your point, we'll just have to keep a careful eye on it to make sure that we are tracking in the right way to make sure that their supply no supply disruptions for clinical trials.
DoKim: Great. Got it. And on the competitive landscape, insight earlier this year renewed its BET inhibitor program, COMFORT study with rux and myelofibrosis, and they give credit to your 610 data. Do you could you talk about what you know about their drug and how 610 compares in terms of profile?
JigarRaythatha: It's hard though to make a kind of apples-to-apples comparison just because I think the parameters around various BET inhibitors, they're also we haven't seen data to date that kind of shows a profile that's similar to our molecule. But also, I think the way that the molecules are studied and assessed is also very different. So for instance, the PD biomarker that we use focuses on kind of cytokines, which we think is very proximal to the effects that you see in MS. And with most of the other programs out there, they're looking at MYC transcription, which was some of the original biology around which BET could start at the whole field.And so it's hard to really make the apples-to-apples comparison to our program versus competitor programs. I kind of heard about Insight's comments where they thought that maybe they overdosed with regard to what they need and they're going in and testing lower doses. For which they need to establish safety after being on a hold. So we'll kind of watch if they take their steps to understand what they have and if they have something that's suitable. But at this point, can't really make an apples-to-apples comparison.
Operator: I'm not showing any further questions at this time. I would now like to turn the call back over to Kia Khaleghpour for closing remarks.
Kia Khaleghpour: Thank you, everybody, for joining our call. We appreciate your support, and we look forward to giving you a further update at our Investor Meeting at EHA.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.